Operator: Good day, and thank you for standing by. Welcome to the First Quarter 2021 Financial Results Conference call. [Operator Instructions]. I would now like to turn the conference over to your host, Mr. Lee Fishman. Please go ahead, sir.
Lee Fishman: Thank you, Lea. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer; and Joel Winnie, Executive Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investors tab.  Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the federal securities laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides and this conference call. These risk factors are described in our press release and presentation and are more fully detailed under the caption Risk Factors on Pages 12 to 21 of our Form 10-K filed on February 26, 2021, and in our subsequent filings with the SEC. Please also note that the date of this conference call is April 27, 2021, and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. And with that, I will now turn the call over to Matt.
Matthew Cox: Thanks, Lee, and thanks to those on the call. I'll start with a quick recap of our first quarter results, so please turn to Slide 3. Matson is off to a strong start to 2021, with continued solid performance in Ocean Transportation and Logistics. The year-over-year increase in operating income for Ocean Transportation in the first quarter was primarily driven by continued exceptional demand for both the CLX and CLX+ services. In our other core tradelanes, we continue to see steady demand for sustenance and home improvement goods, lead to higher year-over-year volumes. Logistics operating income for the first quarter increased year-over-year as a result of continued elevated goods consumption and inventory restocking in addition to the favorable supply and demand fundamentals in our core markets. In my nearly 40 years in the business, I've not seen an environment like this with international tradelanes operating at capacity and widespread supply chain congestion leading to pressures the U.S. ports, terminals, rail yards and warehouses. At Matson, we remain focused on maintaining reliable tradelane services and helping customers in both Ocean Transportation and Logistics work through this very challenging period. I'll now go through our tradelane services, so please turn to Slide 4. Hawaii container volume for the first quarter increased 0.6% year-over-year. The increase was primarily due to higher demand for sustenance and home improvement goods, partially offset by 1 less westbound sailing and the negative impact from low tourism activity as a result of the pandemic.  Volume demand in the quarter was influenced to some degree by the economic recovery across the state and the associated improvement in tourism data, unemployment plus the benefit of additional stimulus payments. In March, we lapped the first shelter-in-place in Hawaii, which resulted in a surge of home good and essential goods purchases. I'll now go through the current business trends in our Hawaii service, so please turn to the next slide. The Hawaii economic property is underway with continued improvement in tourism. Unemployment remains elevated and is expected to recover with improving tourism trends. With eased visitor travel restrictions and increased vaccinations on the mainland, tourism to the Hawaiian islands picked up in the first quarter and is expected to accelerate into the summer as vaccinations become more widespread. The continued recovery in tourism is expected to lead to gradually improving economic conditions in the state, but the economic recovery trajectory continues to remain uncertain. Historically, tourism has not been a driver of containerized freight demand, but it is possible that the rebound in tourism, coupled with an improving local economy, may lead to modest containerized freight demand. To give you a sense of the volume trend, 1 month into the second quarter, our westbound container volume in April increased approximately 19% year-over-year, which included the benefit of an additional sailing. Normalizing for the additional sailing, April volume increased approximately 16%. During the month, we continued to see elevated consumption and home improvement demand. Recall that last year at this time, our volume in Hawaii began to see the negative effects of the more widespread shelter-in-place orders near 0 tourism and the effects of temporary retail store closures.  Moving to our China service on Slide 6. Matson's volume in the first quarter of 2021 was 218.6% higher year-over-year. We experienced very strong pre- and post-Lunar New Year's periods compared to last year, where we saw an elongated post-Lunar New Year slowdown period due to China's COVID-19 mitigation efforts.  Our China services continue to realize a significant rate premium in the first quarter 2021, and achieved average freight rates that were considerably higher than the year ago period. Volume demand in the quarter was driven by e-commerce and other high demand goods. A number of demand factors remain favorable, including continued supply chain constraints, continued consumption of goods in lieu of services and the beneficial effects of additional stimulus payments. The elevated consumption trend has led to relatively low levels of inventory for retailers. I'll now comment on current business trends, so please turn to Slide 7. The key demand factors I mentioned for the first quarter continued into the second quarter with April 2021 eastbound container volume higher year-over-year by approximately 151%. Significant supply chain congestion continues, particularly in and around the ports of California. We expect these conditions will mostly -- most likely persist through the second quarter and into the traditional peak season. We also expect demand in the Transpacific tradelane to remain favorable with elevated consumption trends to continue beyond the second quarter and for retail and e-commerce demand to remain strong. With retail inventories at relatively low levels to sales, our large retail customers are experiencing stock-outs on essential goods and creating a just-in-time management environment to meet everyday consumer demand. As such, we expect significant demand for our expedited CLX and CLX+ services to remain throughout the peak season into late October. Matson continues to offer a highly differentiated, fast and reliable set of Transpacific ocean services to help existing and new customers manage through this congested environment. The CLX and CLX+ services are the fastest and second fastest in the tradelane, respectively. And combined with our competitive advantage in destination services makes an extremely compelling value proposition when compared to airfreight and other ocean freight services. Our competitive advantages include having our own and owning our own equipment and having unparalleled combination of SSAT terminal operations and the off dock facility at shippers transport for industry-leading truck turn times and next-day container availability. As we discussed on fourth quarter earnings call, since the summer of last year, we embarked on a capital plan to purchase containers and chassis to meet the elevated container volume demands throughout all of 2021. So we're well prepared to meet our customer needs if the congested environment we're currently in continued beyond the peak season. Turning to Slide 8. In Guam, Matson's container volume in the first quarter 2021 increased 2% year-over-year, primarily due to higher demand for sustenance and home improvement goods, partially offset by lower tourism activity as a result of the pandemic. The Guam economy remains in a downturn as tourism level remain depressed and tourism-related businesses activity remains incredibly low. The economic recovery trajectory remains uncertain and is largely dependent on the recovery and tourism. For the month of April, our westbound container volume increased approximately 25% year-over-year, where we saw the continued elevated consumption and home improvement demand. In April of last year, volume was impacted by reduced tourism and the temporary closure of retail stores during the pandemic. Moving on now to Slide 9. In Alaska, Matson's container volume for the first quarter 2021 decreased 4.9% year-over-year. The decrease was driven primarily by lower northbound volume due to 1 less sailing this year and volume related to TOTE's dry-docking in the year ago period and lower southbound volume, partially offset by the AAX volume. Normalizing for 1 less northbound sailing this year and the TOTE dry dock volume last year, Alaska volume increased approximately 2.5% year-over-year. I'll now go through the current trends at Alaska, so please turn to Slide 10. The Alaska economy continues to slowly recover from the pandemic lows, but remains challenged until the pandemic subsides and the unemployment rate improves. The state's unemployment rate is slightly higher than the national average. The jobs recovery has been negatively impacted by the slow return of retail business where retail was the hardest hit industry in the pandemic. So although the economy is in recovery mode, the recovery trajectory remains highly uncertain. Tourism will continue to remain challenged in the near term with no cruise tourism activity this summer. There's been a modest pickup in oil production and exploration activity, with the improvement in oil prices, any improvement in this area is expected to have a direct and indirect positive impact on the state economy. With respect to our southbound tradelane and the AAX services, the A fishing season had a delayed start in the first quarter of 2021, due to an outbreak of the virus at several large fish processing facilities in Alaska's Aleutian Islands, but activity ramped up in the last month of the first quarter and is extending into the second quarter. In April, northbound container volume increased approximately 11% year-over-year, where we continue to see higher volume assessments and home improvement goods. Recall that in April of last year, volume in the first half of the month was relatively steady and gave way to materially weaker demand in the second half of the month due to the temporary closure of retail stores during the pandemic. Turning next to Slide 11. Our terminal joint venture, SSAT, contributed $9.2 million in the first quarter of 2021 compared to $4 million in the prior year period. The higher contribution was primarily a result of higher lift volume. SSAT lift volume benefited from the significant year-over-year increase in import volume into the U.S. West Coast from China. We continue to see strong import volume into the U.S. West Coast and expect SSAT to be a beneficiary of this elevated volume. Turning now to Logistics on Slide 12. Operating income in the first quarter came in at $6.1 million or $1 million higher than the result in the year ago period. The increase was primarily due to higher contributions from transportation brokerage and supply chain management, where we saw elevated goods consumption and inventory restocking in addition to tight supply and demand fundamentals in our core markets. In April 2021, we saw transportation brokerage continue to benefit from elevated container volumes in Southern California, in line with the trends in the U.S. West Coast import volume. At Span Alaska, our freight forwarding business remained steady and tracked our northbound volume trends in our Alaska Ocean business. Widespread supply chain congestion at ports, terminals, rail yards and warehouses has created a very challenging environment, and many of our business lines are actively helping customers manage through the chaos. As I've said before, historically, during periods of disruption, we tend to perform better, helping our customers navigate the difficulties because we own and control the assets and have years of experiencing managing freight in challenging times. And with that, I will now turn the call over to Joel for a review of our financial performance. Joel?
Joel Wine: Great. Thanks, Matt. Now on to our first quarter financial results on Slide 13. Consolidated operating income increased from $13 million in the year ago period to $120.2 million, with contributions from both Ocean Transportation and Logistics. The increase in Ocean Transportation operating income in the first quarter was primarily due to a higher contribution from the China service and a higher contribution from SSAT, partially offset by a lower contribution from the Alaska service and higher depreciation. The year-over-year increase in the China service contribution was a result of significantly higher average freight rates and higher volumes in the CLX service and the contribution of the CLX+ service. As you may recall, we initiated the CLX+ service in mid-May of last year. The increase in volumes in the CLX service is primarily due to the strong pre- and post-Lunar New Year periods compared to last year, which was negatively impacted from the COVID-19 mitigation efforts in China, which Matt previously discussed plus the year-over-year increase in capacity of the CLX string with the addition of the Daniel K. Inouye in June of last year. The year-over-year increase in SSAT equity income was primarily due to higher lift volume. The lower contribution from Alaska service is primarily due to lower northbound volume due to 1 less sailing this year and volume-related to TOTE's dry-docking in the year ago period. The year-over-year increase in depreciation was due primarily to the Matsonia entering service in the fourth quarter last year and to a lesser extent, the depreciation of scrubbers installed on vessels that occurred last year. Interest expense for the quarter was $7.3 million or $1.2 million higher than the fourth quarter. The increase was driven by onetime expenses associated with the previous debt amendments on the revolving credit facility and note purchase agreements. Lastly, the effective tax rate in the quarter was 23.7%. The first quarter tax rate is lower than the fourth quarter rate and the range we provided in the preliminary earnings release on April 15 due to discrete items. Slide 14 shows how we allocated our trailing 12 months of cash flow generation. For the last 12 months ending March 31, we generated cash flow from operations of $484.1 million from which we used $226 million to retire debt, $116.9 million on maintenance CapEx, $78.7 million on new vessel CapEx, including capitalized interest and owners' items and $31.3 million on other cash outflows, including $15.4 million in financing costs related to the 2 Title XI transactions in the second quarter of 2020. All these things while returning $39.8 million to shareholders via dividends. Turning to Slide 15 for a summary of our balance sheet. You will note that our total debt at the end of the quarter was $698.9 million and our total net debt was $687.1 million. During the quarter, we reduced total debt by $61.2 million. At the end of the first quarter, our leverage ratio per the recently amended debt agreements was 1.25x. The outstanding revolver balance at quarter end was $25 million. Regarding the debt amendments on March 31, 2021, we maintained our $650 million facility size and returned to LIBOR margin grid to what we had in 2017, but with an increase in the base leverage level to 3.5x at a maximum leverage level of 4.0x for mergers and acquisitions. On the private notes, there is a 25 basis point coupon step up if the leverage ratio is between 3.25 and 3.50x. All in all, these amendments are a positive outcome and reflect Matson's strong financial position and cash flow profile and provide us ample capacity to make growth investments moving forward. Lastly, on CapEx. We are focused on the reliability of our operations and providing the quickest cargo availability to our customers in this current congested environment. To sustain these high service levels in our China service and throughout our entire network, we expect a moderate increase in the 2021 equipment capital expenditures from what I outlined on our last quarterly earnings call. With that, I'll now turn the call back over to Matt.
Matthew Cox: Thanks, Joel. We're off to a very good start to 2021 in both of our business segments. There's no shortage of disruptive activity at key points in the supply chain infrastructure, but we are focused on what we can control and do best and that's ensuring the reliability of our services and working with customers to help manage through this difficult environment. And with that, I will turn the call back to the operator and ask for your questions. Operator?
Operator: [Operator Instructions]. And your first question comes from the line of Ben Nolan from Stifel.
Benjamin Nolan: So I have a couple of questions here. The first relates, I guess, to the charter business for CLX+, maybe actually 3 different questions as it relates to that. We've obviously been seeing the charter rates coming up a lot. I mean, people are paying $40,000 a day for narrow beam Panamax ships that a year ago only cost $8,000 and having to do so for 2.5 or 3 years. Can you talk a little bit about where your coverage is there and how much cost inflation you think there might be? And then also sort of along with that, are you still running 6 -- having 6 ships for the flagship deployment?
Joel Wine: Okay. Ben, I'll take a crack at the first couple of moments there, and Matt will supplement. So I think your main question was around the trend that we're seeing in the charter markets and how much coverage we have. And no doubt, all equipment, not just vessels, but all equipment across supply chains have increased in terms of demand, given how congestive things are. So what you're seeing in the charter market is not unprecedented in terms of increase of costs relative to other key equipment items for us as well. But I would say, from an overall cost perspective, still the biggest cost is terminal handling in terms of our additional strengths from China. And fuel is also a larger cost than the charter itself. So it does matter certainly, if the charter rate goes up. But we still have very, very profitable sailings, even with these higher vessel charter rates that you're seeing in the market today. So that's from an overall coverage and profitability perspective. In terms of availability, we think it's really important to have that sixth vessel. The normal voyage for our CLX+, when everything is working smoothly, would be 35 days, but to have an additional sixth vessels, just in case we need that to make sure we have our departures on time at schedule at Ningbo and Shanghai is really important to us. So I think you still look for us to continue with that philosophy of having 6 vessels for that service. And as I think we've reported to you and talked about at this point in time, all 6 of those vessels are chartered into early 2022 and early 2023.
Benjamin Nolan: Okay. I appreciate that, Joel. And the next, I guess, on my questions here are -- when we think about -- and Matt, you talked about the congestion and it's been talked about all over the place in -- on the West Coast, really all over the place. But you do have the sort of advantage of your own terminal space and a lot of other things. But are you guys experiencing any level of issue yourselves in terms of your own assets and your own fleet as a function of that congestion or are you able to 100% sort of bypass it?
Matthew Cox: Yes. I would not say 100% bypass it. What I would say is that we have the ability to control, as you pointed out, our network. We got out early on ordering additional container equipment and chassis and other things kind of before everyone else realized the potential strength of this market. And we have been acquiring additional containers and chassis and other equipment ahead of when we've needed it. And that has put us in really good shape because of this -- in many other cases, you see ocean carriers in the transpacific trade not, again, being able to take bookings or taking bookings but not have containers to be able to fill their ships. And lots of containers are in the wrong places that are struggling to get back to the origin markets in China to fill up again. We also see other international ocean carriers continuing to have to blank or cancel sailings because they can't -- literally can't get their vessels back on time for that next loading in a deployment. We have faced -- we have not lost a single booking because we've not had a container nor have we had a voyage that we've missed since the beginning of the pandemic. So while we've had some of the same issues in rejection, we're much better positioned to management, and it has resulted in a standout differential between our ocean services and everyone else's.
Benjamin Nolan: All right. I appreciate it. And then last, real quick for me, and I'll turn it over and maybe get back. Normally, in June, you guys have, like clockwork increased your dividend by $0.01. The world is a little different now in terms of actually for you guys being a whole lot better. Any -- and I appreciate that it's a board-level decision, but any thoughts at all as to sort of how you're thinking about the dividend or maybe capital deployment in general?
Joel Wine: Ben, yes, thanks for the question. So I'm not going to comment specifically on the dividend. Of course, we'll have something to say in that in June after we have our Board meetings. The big picture, Ben, I would reiterate our capital allocation philosophy. It's important to us to maintain our equipment and our core capital expenditures so that we never can disappoint customers, as Matt just talked about, always have availability and make those internal investments. We're looking for continued organic growth investments. We're looking for M&A investments. And if those things don't happen in any kind of material size, we will focus on paying down debt. And if there's excess capital on top of that, we'll look at dividend increases, we'll look at share buybacks and even special dividends. So you heard us say that for a while, and I just want to -- I want you to hear continue to say that that's our core philosophy. I think we're going to stick with it.
Benjamin Nolan: All right. Good enough. Surprise, surprise, I guess. All right. Appreciate it guys.
Joel Wine: We're steady, if nothing.
Operator: And your next question comes from the line of Steve O'Hara from Sidoti & Company.
Stephen O'Hara: Just moving to the commentary about April, can you just kind of remind me -- I know April was kind of a big month in terms of the changes that happened to the market. But is that -- is there a way to normalize the thinking in terms of what you're seeing now for the quarter? I would assume that April was kind of a big dip across the board, maybe aside from China, but is there a way to think about how that normalizes through the quarter?
Matthew Cox: Yes, it's a good question, Steve. This is Matt. I think what our views -- of course, we're lapping some of the bad news early in the second quarter. And so obviously, the second quarter will show likely some favorable comps, but mostly due to lapping the bad news. And our -- for the domestic trades, our expectations are that we're at the beginning of a recovery and that the stimulus, the progress of the vaccinations in the U.S., continued good progress towards getting to -- back to a normal, I think, is going to create an environment for growth. In our domestic trades, I think, again, our expectation is that, that growth will be relatively modest, but we're still encouraged by the combination of the stimulus and people ready to get out and travel. And traveling international is, especially with some of the outbreaks in different parts of the world and many countries not being as far along in their vaccination programs as the U.S. that the U.S., Hawaii and Alaska and other places will be relatively safe places to go before people are ready to travel internationally. So again, we like the macro, but we're being cautious a little bit, Steve, on how much that additional tourism translates exactly into additional freight volumes in this part of the cycle.
Stephen O'Hara: Okay. And then maybe just on China, I think that you guys go to rate negotiations or rates get renewed around May. And I'm just wondering, is it the same process for CLX and CLX+? And is there anything really thinking on that in terms of what you're hearing from customers and things like that?
Matthew Cox: Yes. So we -- you're right, Steve, the beneficial cargo owner or BCO contracting cycle typically goes from sort of May 1 to April 30, those conclusions -- those are largely done at this point. Matson realized a significant increase in that portion of our business, that is BCO. And for the non-vessel operating common carriers, more quarterly or monthly changes in pricing, those have been -- those are well over half of our overall book of business, and those go up and down on market supply and demand fundamentals. So we've seen relatively large increases in that piece of business. So both sides, the BCO and the NBO sides of our businesses have been taking great increases, and we're pleased with the progress that we made there.
Stephen O'Hara: Okay. And just maybe -- let me just make sure I understand. So I mean, in terms of the rates that were in place kind of last year, can you talk about what -- on the kind of rate portion or rate negotiated portion of the business, are those relatively stable? So if you negotiate the rate kind of ahead of things kind of coming apart with the shipping environment, would those rates have stayed largely the same or would there been any benefit during the year? I guess I'm just wondering, was that a benefit as well last year on that portion of the business or was that more muted and then maybe you see a bigger benefit this year given the renegotiation?
Matthew Cox: Yes. So the first thing I would say is the annual contracted freight is quite a bit less than half of our overall market today and last year as well. I would say, typically, the dynamic you saw, it was not unique to mention, but typically, of course, we honor the freight rates that we put in place last April. But it's often the case that our customers contract for less than all of the freight that they have in their possession. And when our customers who had annual contracts offered to give us more than the minimum quantity commitments embedded in our contract, we slightly declined and either directed them to an NBO or agreed for anything amounts -- the minimum amounts in our contract period or amounts at a higher rate. So there was, to your point, some benefit of that was realized in the previous year and in the previous contract cycle. So we will see an increase. And so -- of course, customers were looking for larger volume commitments in the annual contracting process, and we took a pretty cautious approach to expanding that portion of our overall book of business. So we do expect to see pretty healthy increase year-over-year compared to last year going into the second quarter and beyond.
Operator: [Operator Instructions]. We have a follow-up question from the line of Ben Nolan from Stifel.
Benjamin Nolan: I wanted to ask this earlier, but I didn't want to monopolize thing. Just quickly talking about the Logistics business and there was some commentary in there that the Span Alaska business was going -- should be experiencing some of the similar volume increase relative to the first quarter as the whole Alaska market does. I'm trying to think through what that might mean for the Logistics portion of your business? And can you remind me what -- how much of the Logistics, let's say, operating income comes from Span versus the traditional brokerage business?
Joel Wine: Ben, it's Joel. It's about half, roughly half is Span. And it's not meaningfully different between operating income and EBITDA.
Benjamin Nolan: Okay. That's helpful. And then again, sort of sticking with the Logistics side of the business and focus a little bit more on the truck and intermodal brokerage. I mean, obviously, things are pretty -- it's the wild west at the moment. Can you maybe talk through what you're thinking there from a corporate strategic standpoint? I mean, is that an area where you guys are trying to gain share or increase your exposure or maybe vice versa? How do you think about that part of the business from a longer term perspective?
Matthew Cox: Yes. First of all, we see it as highly complementary to our Ocean service business and a portion of our business is that which is handled by Matson Logistics that moves that cargo to the West Coast to Hawaii, Guam, Okinawa. And then similarly, that portion of our China freight that is destined for Intermodal inland location, Chicago, Memphis, Atlanta, is carried on by Matson Logistics. So first of all, that benefit both sides. The also new benefit is, as we grow in Alaska in the North Slope, Matson Logistics handles all the lower 48 logistics and hands it off to Matson Ocean Transportation Services in Tacoma. So lots of network synergies there. We've also seen tremendous growth organically. We've been able to bid successfully into lots of new business and that has helped us grow. And we tend to be more nimble in our Logistics business than a lot of our competitors and are able to find solutions, especially in congested environment. And you've heard us say this that our President of Matson Logistics, Rusty Rolfe, will say, in chaotic environments, we tend to stand out and find solutions for our customers that set us apart. So we like the return on invested capital elements of the business. We want to grow the business. We want to grow organically. We'd like to grow via acquisition as long as we were able to find businesses at reasonable valuations and multiples. We're not going to overpay, but we really have a good long-term belief in the growth prospects of Logistics over time.
Benjamin Nolan: Okay. That's helpful. And then lastly for me, and this is the honest to goodness last one. I might have missed it, did you give any color as to sort of what you're expecting for SSAT in the second quarter?
Matthew Cox: I don't think we said anything with regard to the second quarter, but we did say that we expected the very busy environment in volume to continue to benefit the joint venture. Obviously, that SSAT is a business with relatively large fixed cost and the more volume you can put over those terminals, it has a very healthy impact to the margins. And so we're expecting that business to perform well. I mean, we implied that Matson's business was going to stay busy through Lunar New Year towards middle to late October at least. And we expect SSAT to perform well over that same time period for the same reasons.
Benjamin Nolan: Right. So implicitly, at least as good as you did in the first quarter, is that fair?
Matthew Cox: Yes. We didn't put a number on it, but we think it will perform well.
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to Mr. Matt Cox, Chairman and CEO. Please go ahead, sir.
Matthew Cox: Okay. Thank you for participating in today's call. We look forward to catching up with everyone at our second quarter earnings call. Please stay safe. Aloha.
Operator: This concludes today's conference call. Thank you for your participation. You have all a wonderful day. You may all disconnect.